Operator: Good morning, everyone, and welcome to the Inspired Entertainment's Second Quarter 2022 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note, today's event is being recorded. I'll begin today's conference call by referring you to the company's Safe Harbor statement that appears in the second quarter 2022 earnings press release, which is also available in the Investors section of the company's website at www.inseinc.com. This Safe Harbor statement also applies to today's conference call, as the company's management will be making certain statements that will be considered forward-looking under the securities laws and rules of the SEC. These statements are based on management's current expectations or beliefs and are subject to risks, uncertainties, and changes in circumstances. In addition, please note that the company will discuss both GAAP and non-GAAP financial measures. A reconciliation is included in the earnings press release. With that completed, I would now like to turn the conference call over to Lorne Weil, the company's Executive Chairman. Mr. Weil, please go ahead.
Lorne Weil: Thank you, operator. Good morning everyone and thank you for joining us for our second quarter conference call. With me on the call today are Brooks Pierce, Dan Silvers, and Stewart Baker, who certainly picked the right quarter to come back to full strength or maybe it's cause and effect, but either way, it's a very good thing. Brooks and Stewart each have fairly extensive prepared remarks. So I won't go into too much detail beyond the excellent financial performance, which I think speaks for itself. The highlights of the quarter for me are these. On the capital structure side of things, we have to date repurchased just under three quarters of a million shares at an average price of $9.73 using just over a quarter of our announced $25 million repurchase program. And we are upgraded by Moody's to B2 for the positive outlook. We launched Virtual Sports with our second U.S. lottery customer, the DC Lottery, and the KPI since startup have been very impressive. As we had mentioned previously, we're seeing great interest in Virtual Sports by North American lottery jurisdictions. We launched iGaming operations in Ontario and Pennsylvania during the quarter and the early indications point towards accelerating interactive revenue in coming quarters reinforced by significant product enhancements, which we will be rolling out in the next couple of months. We launched our first iLottery title with Loto Quebec and the performance has been extremely strong placing among the top performing games in the market. And we have a number of new games coming close to completion and ready for introduction. Our retail Gaming and Leisure businesses are now running comfortably ahead of pre-COVID levels even as our digital businesses continue to grow its growth trajectory. As importantly, we executed new contracts with three very important Gaming and Leisure customers: William Hill, Greene King and Mitchells & Butlers, something a vector significance in the event we were to head into a recession. Indeed it seems that the possibility of recession is on everyone's mind these days. So let me digress a little and talk about this. The subject of recession sensitivity is something I've been studying for many, many years. When I was still in my twenties, I was literally traumatized living through the nightmare of the 1973, 1974, 1975 recession. Anecdotally inflation and the prime interest rate at that time were both each over 12%. The Dow dropped by 50%. And the decline in GDP seemed to go on forever. But as it turns out, I was fortunate to have learned lessons that I've been careful to apply in managing businesses ever since further reinforced by a few too many recessions in the meantime. So should we find ourselves in a recession? My experience of the last 45 or 50 years would suggest that the most vulnerable companies are those that are highly leveraged with variable interest rates and short maturities. Those who's operating margins are thin, so that minor pricing or volume pressure can quickly wipe out all the profit, particularly if overhead is relatively fixed, those that compete with their own customers in-house supply, because when the market declines, they're the first to be cut off. Those whose revenues come primarily from one shot sales rather than recurring multi-year contracts, because they're the most vulnerable to competitive pressure. And lastly and in particular in the gaming space, those that are heavily dependent on destination gaming as opposed to regional or ideally even local. Looked at against this template, I think we're in very strong shape to deal with any economic downturn. Our net leverage is comfortably under three, our interest rates are fixed and our maturities are very comfortable. Our operating margins are very strong across all our businesses. And despite our growth objectives, we're very careful about overhead. We do not compete with any of our customers. And virtually all of our revenue comes from recurring contracts and our contract portfolio is in excellent shape as referenced a moment ago. And finally, 100% of our EBITDA is derived from locals markets, much of it from online, the ultimate locals market for the 2020s. So while of course we're not thrilled with the prospect of a recession, I think where it's prepared as we can be. Indeed we think that in the event of the recession, we may in the longer term sense actually be able to turn this to our advantage. And with that, I'll hand it over to Brooks.
Brooks Pierce: Okay, thank you, Lorne. And I share your sentiments on the financial performance of the business in the second quarter, and I'll share some of the highlights across the business segments as I usually do then hand over to Stewart for a deeper dive into the numbers. As we've been talking about for almost a year now, Q2 2022 is the last of the four quarters in which we'll be comparing to quarters that were impacted by COVID restrictions and lockdowns across our business segments. As both Lorne and I have mentioned many times over the last year, we believe that Inspired is a business that will pass $100 million or more in run rate EBITDA by mid 2022 with an ever increasing contribution coming from our higher margin digital businesses, which in turn creates tremendous operating leverage. Notwithstanding currency headwinds, our thesis was correct with LTM EBITDA approximately £74 million, which translates to more than 100 million in run rate at Q2 2021 exchange rates. This doesn't happen without the focus and the effort of our entire team working under some incredibly difficult operating conditions and we sincerely appreciate their efforts and know they'll continue to be laser focused going forward as we broaden our product offerings and expand in key markets and add even more geographies. So here are some of the highlights of the operating segments for the quarter as well as some look into what's in the pipeline from a product and business development perspective. I'll talk about our digital businesses first and then our retail businesses, but as Lorne mentioned in his remarks, each set of these had strong performances in the quarter. And in Virtual Sports, our revenue grew 90% compared to prior year in functional currency with strong performance from both our online and retail segments. This performance was driven in large part by the confluence of a strong product portfolio and the expansion of our online product organically and across new territories. On the product side, we launched the first women's Virtual Sports soccer for those of us from the U.S. They coincided nicely with the England women winning the Euro's tournament for the first piece of hardware for 56 years for England and strong rallying point for a huge number of our customers and our employees. We look forward to launching our Home Run ShootOut game later this year and have added Mickey Mantle to our stable players under the MLBPAA license that we've secured. We have several product enhancements from a player perspective that will launch later this year and we believe we'll give our operator customers unprecedented marketing and analytic tools. We also went live with our second lottery customer with the DC Lottery, launching our horse racing game and we're excited to see that business off to a good start. And the pipeline of U.S. lottery opportunities in Virtual Sports is building every day. Needless to say, we're very bullish on this business segment. In Interactive, our revenue grew 12% over prior year on a constant currency basis with a number of new initiatives and markets just coming on in the quarter. We're very encouraged by what we've seen from our first customer Rush Street Interactive to go live in Pennsylvania. We expect to go live with several of our biggest customers in Pennsylvania over the third and fourth quarter, including BetMGM, Draft Kings, Caesars, Penn and others. We're seeing weekly growth in our business in Ontario and still believe strongly in the potential for this market and are happy to report that we are now live with FanDuel in Ontario, our first successful integration with this key customer. As a reminder, FanDuel represents a significant share of market in PA, New Jersey and Michigan and we are yet to go live with them in these markets, but expect to over the course of the next quarter or two. North America is the fastest growing part of our iGaming business and is now our second largest market behind the UK with what we believe is tremendous potential. Moving on to the iLottery side, we've launched our first iLottery content, as Lorne mentioned into North America with Loto Quebec, and it's already a top five performer in their portfolio, and we'll be launching our second game with them soon and have a roadmap of additional content for next year. Now that we've proven our game performance, we'll be accelerating our sales and marketing efforts in additional key North American lottery markets and combined with our Virtual Sports efforts we offer compelling content for the entire North American lottery market. Moving on to gaming, we are very happy to announce the agreement with William Hill to continue providing equipment and services to a longstanding key customer of ours. We've launched our Vantage cabinet into the UK LBO market and the early numbers are very strong and we'll be working with key customers across both our LBO business as well as our pubs and AGC markets to get this product out in 2023. Our LBO customers continue to exceed their pre-COVID performance even with the macroeconomic challenges facing the UK economy. It goes to what we believe is the resilience of the market and our offerings. Our Flex cabinet, which is our curved screen offering is doing extremely well and our backlog for orders for this segment of the business is significant. We have three new game titles going out in Illinois yet this quarter where we have high hopes for and several other gaming opportunities in the North American market that we'll be reporting on as they develop. Moving over to Leisure, we're very happy to announce the extension of our agreement with Greene King for another three years and importantly, an increase in our footprint with this very large customer. We also announced a three year extension agreement with another large customer Mitchells & Butlers. We believe that our products in this segment are our best-in-class and are the highest performing products in the pub segment and we have several key initiatives from both the content and platform perspective that we believe will further enhance our offering in this business. In the motorway service side of the business as well as our holiday parks business, they both have been positively impacted by the staycation phenomenon going on in the UK with more and more folks opting for a vacation time in the UK as opposed to overseas. So let me just say in summary, it feels like we're clicking on all cylinders, yet we believe that we have key product and market developments that are in their very early stages, which gives us plenty of opportunity to build this business out even further. So with that, I'll hand it over to Stewart for some further commentary on the numbers.
Stewart Baker: Thanks, Brooks, good morning all and Lorne I won't comment on your cause and effect pondering. So you may remember I said in the last quarter earnings call that there was great momentum in a number of parts of the business and the company had never been in better shape. Three months on I'm pleased to report this is absolutely continues to be the case. And whilst I believe the results we are discussing today are testament to that and speak for themselves, I do want to add just a little bit of context. I would call this quarter a clean three months with no lockdowns or large one off gains or losses. However, I do think it's worth reminding ourselves where we were in the comparative quarter of 2021. This was a time where most of Europe started the second quarter in lockdown and was mainly opened by the end with most restrictions falling away at different times within the quarter. It was also a quarter that had an average great British pound to U.S. dollar rate of 1.40 versus 1.26 in the current year. And so for this reason, we are referring to the functional currency in the release and on today's call more than we'd ideally like to. So by looking at the results in British pounds, we believe it's easier to understand the underlying trends of the business as it represents the true change in business volumes. This is also likely to be true in three months time given where rates currently are versus a year ago. So overall compared to the same quarter a year ago, revenue grew 72% to just over $71 million, but in functional currency increased 91%. All areas of the business grew on this basis with functional currency growth rates of 75% for gaming, 157% for leisure as they benefited from having operations fully opened for the entire period versus the comparatives. Unlike what it seems has been the trend for some other iGaming businesses, our Interactive business grew double-digit at 12% on a functional currency basis, despite tough year-over-year comparatives of lockdown periods, and also Inc increasing player protection measures coming in within the UK. It's worth noting here that the FX impact has seen the starkest. We reported growth in flat year-on-year despite the functional currency growth. Lastly, as with last quarter, the standout segment was once again Virtual Sports with revenue up 90% on a functional currency basis. And whilst you would expect retail growth to be significant given the prior year restrictions and it was at 62%, the biggest driver was online Virtual Sports, which nearly doubled. Comparing revenue on a sequential basis to the first quarter of this year, whilst we would expect an improvement Q1 to Q2 in leisure, due to the seasonality of the holiday park business, we saw double-digit functional currency growth across all segments, Gaming at 13%, Virtual Sports at 28%, Interactive at 18% and Leisure at 41%, demonstrating the momentum across the business. Turning attention to adjusted EBITDA, we saw growth of 262% on a functional currency basis, which is 227% in reporting numbers compared to the prior year quarter with both gaming and virtual sports are triple digits in functional currency. Leisure turned from a small loss in the prior year to a positive EBITDA of $7.7 million this year. Interactive was flat year-on-year as it faced tough expense comparatives due to salary reductions and other COVID cost saving measures across the business. But once we get to a more like for like comparatives as we did in June of this year, EBITDA growth in this segment was double digit, a trend that we expect to see in July as well once those numbers are finalized. On a sequential basis, compared to the first quarter of this year, adjusted EBITDA was up 38% on a functional currency basis demonstrating the operating leverage of the business as margins grew from 33.2% to 36.6%. So we've now had four quarters of relatively minor or no COVID restrictions and it's worth reiterating what Brooks said and pointing out that the last 12 months adjusted EBITDA is approximately £74 million and had exchange rates stayed at the rate of Q2 of last year. This would have meant the U.S. dollar equivalent of well over $100 hundred. Returning to the quarterly numbers and looking further down the income statement, there were no unusual gains or losses in the quarter unlike the prior year. This meant we had net income of $7.5 million for the quarter, which equates to $0.28 earnings per share compared to $1.94 loss in the prior year and up from $0.06 in the first quarter. Turning attention to cash flow, we started the quarter with $40.8 million and ended at $31.8 million with two key items impacted this. Firstly, and I apologize for sounding like a broken record FX had a big impact with the pound to dollar rates reducing significantly from 1.32 to 1.21 between the two balance sheet dates. And secondly, we repurchased $5.1 million of stock in the quarter. So looking at the quarterly cash flow of net cash provided by operating activities, less net cash used in investing activities, which ignores both of these and shows an outflow of less than $0.5 million, despite there being a six monthly interest payment in the quarter as well as some 2021 bonus payments. We expect to be disproportionately cash generated excluding the impact of any share repurchases in the second half of the year. When talking of share repurchases, we've continued this during the third quarter and as mentioned in the release and touched on by Lorne as of yesterday we've now purchased a total of 734,000 shares at an average price of $9.73 per share excluding trading commissions under the program. As we now have 12 months normal trading, we can also look at adjusted EBITDA net leverage and see that on a great British pound basis is 2.8x and on a U.S. dollar basis, it's 2.6x. So with that, I'll hand back to Lorne for any closing comments before opening up to Q&A.
Lorne Weil: Thanks, Stewart. Thanks for terrific financial overview. No, I don't have any comments to make at this time. So operator, if you would like to open the program up for Q&A, please.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from the line of Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: Great. Thank you. Good morning guys. You've had a number of contract extensions or new contracts in the UK for gaming and leisure. Can you maybe talk about how we should think about potential upside here? Thanks.
Lorne Weil: In terms of the upside really I would say that it's probably only primarily in Greene King because we're adding to the footprint I think about 6% if I remember off the top of my head. So that's the only one that would be meaningful, but I think it's probably important they understand. I mentioned in the call that the – we've introduced the Vantage cabinet out in the UK. So we have a couple hundred out with ironically with Paddy Power and Betfred and performance is up about 7% off the current base. So we’re certainly in the midst of discussing our extensions with those guys. And it certainly helps that we have a product that now they’ve seen live and tested for a period of time and it’s grown their cash box by a pretty significant amount. So hopefully that will bode well as we head into negotiations for those contracts.
Barry Jonas: Got it. Understood. And then wanted to touch on some of the impact you’re seeing in interactive now from the player protection initiatives. Can you maybe just give more color there and then also any updated thoughts on impact from the white paper? I know it’s delayed, but given what we do know just curious if any new thoughts there? Thanks.
Brooks Pierce: Yes. I mean, I think what’s happened and I’ve seen some of the other companies, the operator side that have announced, have talked about some softening in the UK because they’re preemptively kind of, they’ve seen a draft of what the white paper is and they’re preemptively moving for and adding some responsible gaming features and in some cases even lowering stakes. We ironically have seen growth in the UK, not like it had been in the past, but that actually helps us feel pretty good that we’re actually taking share. So I think the white paper is as you know, I think they’re saying it’s going to be posted in early September after they determined who the next Prime Minister is, but that’s really only the beginning of the process. There’ll be some more consultation. But really what’s happening is a number of the operators are acting proactively. So I would assume that the impact is going to be less going forward because people are already starting to react to it.
Barry Jonas: Great. That’s really helpful. If I could sneak in one more. How are you guys thinking about priorities for capital allocation here, and with that, has the recent market turbulence created any potential M&A opportunities for you? Thanks.
Stewart Baker: Well, we’re looking we’re looking at a number of M&A activities. It has definitely become a very active time in the industry as I’m sure Barry, and so we’re – I wouldn’t say we’re anxious to use capital for M&A, but we’re certainly willing to use capital for M&A if it’s something that strategically fits with what we’re trying to do. And there seem to be a lot of things around right now presenting themselves as possibilities. But as we’re very careful and very disciplined about what we pay for M&A. We’re not going to pay a crazy price for anything. And we insist on there being immediate and visible synergies. So we’re going to allocate capital to M&A, but only if it makes the kind of sense that we’re used to doing. As long as we feel our shares are not anywhere near worth what we think they are, then we’re going to continue to allocate capital to our share repurchase program, which as I mentioned in my comments, we still have three quarters of the 25 million that we set aside to do that available. And I wouldn’t rule out the possibility that if interest rates were to continue to rise and there’s a proportionate reduction in the market cap or market value of our debt that we might begin to consider repurchasing debt. But all of these things are slightly lower down in the priority level of providing all the capital that we need to drive the growth in our existing businesses, because the potential – Barry you and others are probably getting sick of are talking about it. But the fact is the potential is phenomenal and we’re not going to do anything that in any way limits or jeopardizes our ability to take full advantage of growth. So – and again, because of the way our business mix is shifting, the returns on investment in our existing business continue to go up. So I guess top of the priority list is drive growth in our existing businesses and then some mix of M&A share repurchase and potentially debt repurchase.
Barry Jonas: Great. Great. Well, thank you for all that caller and congrats on a great quarter.
Stewart Baker: Thank you, Barry.
Operator: Your next question comes from the line of David Bain with B. Riley Securities. Please go ahead.
David Bain: Great. Thanks so much. And congratulations on the quarter as well. I was hoping first, maybe more detail in the William Hill agreement. I mean, obviously, that’s very helpful for long-term visibility. After the year extension, it looks like there could be a CapEx move for Vantage cabinets, but that should also increase yield, Brooks, as you mentioned, but I assume you were going to upgrade those cabinets over time anyway, but is this something that happens all at once and then is that 7% on the yield that where you swapped out in the existing locations? Is that something that is fair to potentially flow through to William Hill locations?
Brooks Pierce: Yes. So, thanks, Dave. Let me try. I don’t want to answer some part of the William Hill question because frankly that’s ongoing dialogue in terms of the capital treatment of that, but the way the deal is structured is we’ll have a trial of 400 terminals for them to validate. And then we will kind of move to the next stage of the agreement. So we’ve secured the service and the platform for an extended period of time, but they frankly just need to have the machines out in their shops to prove them. But thankfully, as I mentioned in my remarks, it’s already been out in the market in some of their competitor shops and are growing the cash box at a pretty substantial number. So we hope that that trial is really kind of a faded comply. [Ph] In terms of the yield, yes, I mean obviously if putting in new cabinets in our existing customers, because we get paid as you know, a recurring fee that would certainly help us on a going forward basis. So we’re very enthusiastic about the new cabinet, very happy about the results that we’re seeing thus far and certainly should be a contributor to 2023 growth.
David Bain: Okay, awesome. And the iLottery opportunities as you stated in prepared remarks, I mean clearly growing. Are the potential North American deals you’re discussing, dealing with approved iLottery states and finance or different configurations and models that don’t require a full approval of iLottery. I mean, are you seeing an increase in those and maybe just overall, if you can give us a bit of framework as to what maybe in store, in terms of potential forward, iLottery deals for you guys?
Lorne Weil: Well, it’s Lorne.
David Bain: Hi, Lorne.
Lorne Weil: I don’t think right now we’re devoting much time or focused to states where iLottery has not yet been approved because we’ve got a handful of states that we’re not in that we’re focused on building upon what we’re doing in Quebec to get into. So – but there’s really two prongs to the iLottery. The iLottery opportunity, one being iLottery as it has traditionally that the term has traditionally been used, which are basically in instant lottery tickets played on the internet instead of on a piece of paper. And I personally see that as ultimately an enormous market for a whole bunch of different reasons, but in parallel, we’re seeing as I mentioned in my prepared remarks, enormous interest in virtual sports as a lottery product. So for us, the overarching iLottery opportunity is a combination of the call digital instant games and virtual sports. And so those two together, I think it – they are in the process of making lottery a very, very important business for us.
David Bain: Okay, fantastic. Thanks so much.
Operator: Your next question comes from the line of Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Good morning. Thanks for taking my question. Wanted to hone in on the virtual sports result the exceptional growth that you talked about. Can you just maybe outline a little bit more or provide some color in terms of where you’re seeing the growth on the online side? Is this just a higher acceptance from your players, more marketing or placement on the sites? Just seems like it was well above what anyone was expecting and trying to figure out if that type of growth or those types of absolute dollars are sustainable. Thanks.
Brooks Pierce: Yes. I think it’s actually kind of a combination of all of the above, Chad. I think we’re seeing organic growth and obviously in our existing customers we’ve talked on a number of times on the call about this product that we launched virtual plug and play, VPP. So we’re going into new geographies and adding customers as well. And I think it’s just so a combination of new products, new geographies, and our existing customers pushing – our operator customers pushing virtual sports as a product offering online is kind of leading to growth kind of across the whole segment. So I think Stewart mentioned in his remarks that retail was growing as well, but certainly the online is growing faster. And we clearly, as Lorne just mentioned, we think the whole runway is ahead of us in the North American market both on the lottery side, but also on the gaming side. So it’s a good news story kind of across the Board.
Chad Beynon: Great. Excellent. And then on the Leisure segment, as we think about no or lack of restrictions in terms of the ease of travel in and without – within and outside of the UK. Should this still be a benefit to the properties where you have machines or are people starting to explore other markets, maybe leave the country. Just trying to figure out how this seasonally can look as the consumer has kind of all the opportunities of options that they did pre-COVID. Thank you.
Brooks Pierce: Yes. So Chad, I think what we’re seeing is actually both. I mean I think as I’m sure all of us read about the amount of or the rebound in travel on a worldwide basis, so no doubt. There’s plenty of folks in the UK that are traveling abroad, but there’s certainly a hell of a lot of people in the numbers bear that out that are staying in the UK and vacationing there and going through not only our holiday parks but we sometimes don’t talk about the motorway services, maybe as much as we should, but there’s obviously people have to drive to get to these holiday parks. And when they do, they stop at motorway service outlets that have our gaming machines. So we’re seeing kind of nice growth in that part of the business as well. So even though people in general are traveling probably more than they have, well, definitely more than they have in the last couple years, it’s benefited our leisure business on both the holiday parks, as well as the MSA part.
Lorne Weil: The other thing to bear in mind, Chad is that the largest part of our of our leisure business is actually the pub business and whatever and I think it’s unlikely, but whatever let’s say lessening of the snap back in the travel driven part is going to be more than made up for by the pub business, just because as all of the COVID stuff finally once and for all goes away and people are comfortable going out to pubs and so forth that I think the overall picture is we're pretty sanguine that the – when we add up all the pluses and minuses at the pluses on the leader business, particularly because of what we're seeing in the pub business is – it's coming out clearly on the plus side.
Chad Beynon: Thank you very much. Congrats on the growth on the quarter.
Brooks Pierce: Thanks.
Operator: Your next question comes from the line of Ryan Sigdahl with Craig-Hallum Capital Group. Please go ahead.
Ryan Sigdahl: Good morning, guys. Just wanted to dive into the vantage cabinet a little bit more. So first, do you think that this new cabinet is primarily intended to defend the territory that you have with some of these longstanding partners William Hill, et cetera. Or do you think there's opportunity to actually take share from your competitors? And then secondly, you mentioned a 7% increase in performance in cash box, what features are really resonating driving that outperformance?
Brooks Pierce: Yes. Well, as you know, in the – so the vantage cabinet is not purely going to be in the betting shop business. It's going to go across our portfolio, we'll see it in – you'll see it in the pub's business, you'll see it in the AGC business going forward. So it really is a combination of frankly, we needed a new cabinet and it kind of coincided with the expiration of a couple of our biggest contracts. But we're certainly feeling very good about the performance and expect that to go across when we install this beyond the betting shop business into the pubs and AGCs as well. In terms of what's driving it, as you know, Ryan, kind of gain performance is always trying to identify what makes a game better or cabinet better is a bit art and a bit science. So we think from a design standpoint, it's more attractive, but certainly the feedback we're getting from players is the way that we've – and I don't want to talk too much about it with our competitors possibly listening in. But our menu design has been from what the feedback that we're getting has made the player experience significantly better. So it's really a software issue more than kind of a hardware thing, but I'd probably just rather leave it at that.
Ryan Sigdahl: Good. And then one more just on iLottery. So good first title with quote back is – do you only have one title live with Quebec today or just one top performing title? And then secondly, can you talk through the product release pipeline of more content going in there?
Brooks Pierce: Sure. Yes, it's only one game right now. The next game is going to be either this quarter or early next quarter. And then we're on the roadmap for two more games next year with LQ. And as I said, in my remarks, kind of – it's always one of these things that people understood the race on [indiscernible] for us to get into the iLottery content business, but you ultimately have to prove it out in the marketplace. So now that we have a customers kind of large and prestigious as Loto Quebec as a proof point, we're really ramping up the marketing as Lorne talked about to the existing iLottery customers, but you combine that with what we're talking to them about in virtual sports. So we have just the lottery segment itself. We have a really interesting story to tell to them, and now we've got performance behind both virtuals and iLottery content to kind of back it up. So we obviously, it's a big focus for us in the business going forward, certainly in 2023.
Ryan Sigdahl: Thanks, Brooks. Good luck guys.
Brooks Pierce: Thanks, Ryan.
Operator: [Operator Instructions] Our next question will come from the line of Edward Engel with ROTH Capital. Please go ahead.
Edward Engel: Hi. Thank you for taking my question. On yesterday's press release, you called out you expect the valor machine sales in Illinois to increase in the 3Q over the 2Q. And then I also just noticed the inventory that you're reporting on the balance sheet. It's still a bit elevated versus prior years. Have supply chain issues been delaying machine deliveries and not just the Illinois, but in other regions as well?
Brooks Pierce: No, I think in Illinois we have inventory that we need to sell through. And part of that is, gain performance as I talked about in terms of releasing three new titles. So that's kind of just inventory that we'll work through in terms of and Stewart maybe can comment on the financial accounting for it, but we've built up inventory across the business, because of the concern about supply chain issues and we're quite comfortable that we'll work this inventory down through the rest of the year, but that goes certainly beyond Illinois. I don’t know Stewart, if you want to comment anymore on that.
Stewart Baker: I mean, the main points, yes, as you say, Brooks, we expect it to be back to normal levels either by year-end or just after year-end. And I don't think it's had too much significant impact today, but we'll so certainly see that inventory get used up on the holding Q3 and Q4.
Edward Engel: Perfect. So I guess, would that imply that second half sales are up versus the first half.
Stewart Baker: Yes. In terms of product sales, yes. I think that's fair assumption.
Edward Engel: Perfect. Thank you. And congrats on another good quarter.
Stewart Baker: Thanks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Lorne Weil for any closing remarks.
Lorne Weil: Thank you, operator. And again, thanks everyone for joining the call today. I hope you share our enthusiasm for where we are right now. Again, as I said in my – we've mentioned in the press release, I have never in the time that we've been involved with this business been more positive about the outlook. I think everything we've been working on the last few years notwithstanding the COVID interruption seems to be working fine. And we look forward to speaking to you in another three months. So thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.